Operator: Good day, and thank you for standing by. Welcome to the Innospec's Fourth Quarter 2023 Earnings Release and Conference Call Webcast. [Operator Instructions]. Please note that today's conference is being recorded. I would now like to hand the conference over to your first speaker, Mr. David Jones, General Counsel and Compliance Officer. Please go ahead, sir.
David Jones: Thank you. Welcome to Innospec's fourth quarter earnings call. This is David Jones, I'm Innospec's General Counsel and Chief Compliance Officer. The earnings release for the quarter and this presentation are posted on the company's website. During this call, we will make forward-looking statements which are predictions, projections and other statements about future events. These statements are based on current expectations and assumptions that are subject to risks and uncertainties that could cause actual results to differ materially from the anticipated results implied by such forward-looking statements. The risks and uncertainties are detailed in Innospec's 10-K, 10-Q and other filings with the SEC. Please see the SEC site and Innospec's site for these and related documents. In today's presentation, we've also included non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measure is contained in the earnings release. The non-GAAP financial measures should not be considered as a substitute for, or compared to, those prepared in accordance with GAAP. They are included as additional items to aid investor understanding of the company's performance in addition to the impact that these items and events had on financial results. With me today from Innospec are Patrick Williams, President and Chief Executive Officer; and Ian Cleminson, Executive Vice President and Chief Financial Officer. And with that, I'll turn it over to you, Patrick.
Patrick Williams: Thank you, David, and welcome, everyone, to Innospec's fourth quarter and full-year 2023 conference call. I am pleased with another excellent quarter for Innospec. Performance Chemicals and Fuel Specialties delivered improved margins and double-digit operating income growth over the fourth quarter last year. While oilfield services maintained a strong performance. In December, we completed the acquisition of QGP Quimica. This acquisition aligns with our previously stated M&A goals to further strengthen our Performance Chemicals segment and add strategic manufacturing in South America. QGP brings meaningful capabilities that complement many of the end markets we serve, including agriculture, Personal Care, Home Care, Industrial, Construction and Mining.  In addition, there is significant manufacturing flexibility for future organic expansion. We expect this transaction to be immediately accretive and approximately $0.08 of EPS in 2024. In Performance Chemicals, operating income in the quarter grew by double digits over the prior year and margins improved. Our focus remains on returning operating income, and run rate and margins to levels consistent with the full year 2022. While the economic environment remains a challenge, we are making progress against that objective. On a sequential basis, Performance Chemicals delivered its second consecutive quarter of operating income growth and margin improvement. We continue to have strong technology pipeline and organic growth opportunities in all end markets. In fuel specialties, operating income grew by double-digit over the same quarter last year and gross margins were within our target range of 32% to 35%. Excluding Brazil, inventory charges incurred in the first half of 2023, full-year operating income grew by 3% and operating margins improved to 18%. We will continue to focus on operating margin improvement. In oilfield services, as expected, activity levels in the quarter moderated compared to last year but remained strong. For the full year, operating income approximately doubled and operating margins expanded above 11%. While we expect production chemicals activity to remain at moderate levels in the coming quarters, we continue to see opportunities for sales growth and margin improvement in all segments and geographies for 2024.  Now I will turn the call over to Ian Cleminson, who will review our financial results in more detail. Then I will return with some concluding comments. After that, Ian and I will take the questions. Ian?
Ian Cleminson : Thanks, Patrick. Turning to Slide 7 in the presentation. The company's total revenues for the fourth quarter were $494.7 million a 3% decrease from $510.7 million a year ago. Overall gross margin increased by 1.8 percentage points from last year to 31.5%. EBITDA for the quarter was $54 million compared to $54.3 million last year. And net income for the quarter was $37.8 million compared to $25.5 million a year ago.  Our GAAP earnings per share were $1.51 including special items, the net effect of which decreased our fourth quarter earnings by $0.33 per share. A year ago, we reported GAAP earnings per share of $1.02 which included a negative impact from special items of $0.18 per share. Excluding special items in both years, our adjusted EPS for the quarter was $1.84 compared to $1.20 a year ago. For the full year, total revenues of $1.95 billion decreased 1% from $1.96 billion in 2022. EBITDA for the year was $210.6 million compared to $225.4 million in 2022, our net income was $139.1 million compared to $133 million a year ago. Our full-year GAAP earnings per share were $5.56 including special items, which decreased our full-year earnings by $0.53 per share.  In 2022, we reported GAAP earnings of $5.32 per share, which include the negative impact from special items of $0.072. Excluding special items in both years, our adjusted EPS for the year with $6.09 compared to $6.04 a year ago.  Turning to Slide 8. Revenues in Performance Chemicals for the fourth quarter were $137.2 million down 5% from last year's $143.9 million. A negative price mix of 14% was offset by higher volumes of 6% and a positive currency impact of 3%. Gross margins of 21.3% were up 2.9 percentage points from last year. Operating income increased 14% from last year to $18 million. For the full year, revenues of $561.6 million were down 12% from last year's $639.7 million and operating income decreased by 43% to $54.5 million.  Moving on to Slide 9, revenues in field specialties for the fourth quarter were $182.1 million. 1% lower than the $183.3 million reported a year ago. Volumes were flat and a negative price mix of 4% was offset by a positive currency impact of 3%. Fuel specialties gross margins of 32.9%, improved by 5.1 percentage points from 27.8% last year. Operating income increased 22% from last year to $32.6 million. For the full year revenues were down 5% to $695.9 million and operating income declined 10% to $109.7 million. Adjusting for the impact of nonrecurring Brazil inventory charges in the first half of 2023, operating income grew by 3% to $125.1 million.  Moving on to Slide 10. Revenues in oilfield services for the quarter were $175.4 million down 4% from $183.5 million in the fourth quarter last year. Gross margins of 38% were down 2.4 percentage points from last year's 40.4% and operating income of $18.3 million was down 11% from $20.5 million a year ago.  For the full year, revenues of $691.3 million were up 16% from last year's $593.8 million and operating income increased 88% to $78.6 million.  Turning to Slide 11. Corporate costs of $24.4 million increased by $7.9 million from last year driven mainly by additional remediation charges and acquisition-related costs. The full-year adjusted effective tax rate was 23% compared to 27% last year. The decrease is primarily a consequence of having operations outside of the U.S., where they are exposed to foreign currency fluctuations together with the change in profile of our taxable profits by territory year-on-year. For 2024, we expect the full-year effective tax rate to be around 25%.  Moving on to Slide 12. This was an excellent quarter for cash with cash generated from operations of $72.4 million before capital expenditures of $21.1 million. In the quarter, we paid the previously announced semiannual dividend of $0.72 per common share. This brought the total dividend for the full year to $1.41 per share, a 10% increase over 2022.  For the full year, cash from operations after capital expenditures was $130.2 million compared to $39.6 million in 2022. As of December 31, Innospec made up $203.7 million in cash and cash equivalents and no debt.  And now I'll turn it back over to Patrick for some final comments.
Patrick Williams : Thanks, Ian. I am pleased with our operating results the business teams achieved in the quarter and the full year. The foundation of success is innovation, customer service and teamwork across all our global businesses. Our technologies and customer partnerships are first-in-class and the end markets that we serve. We will continue to leverage and invest those strengths as we target growth and further margin improvement in 2024.  Cash flow continued to be extremely strong in the quarter full year. After funding the upfront portion of the QGP acquisition and a 10% dividend increase, our net cash position remained over $200 million. We continue to have significant flexibility and balance sheet strength for further M&A dividend growth and organic investment. Now, I will turn the call over to the operator and Ian and I will take your questions.
Operator: [Operator Instructions]. And the questions come from the line of Jon Tanwanteng from CJS. Please ask your question. Your line is open.
Jonathan Tanwanteng: Good morning. Thank you for taking my question about the nice quarter guys. My first one is, again, what's driving the strength in oilfield after I think you tried to level set expectations a little bit last quarter and what are your run rate expectations heading into '24?
Patrick Williams: I mean, I leveled off a little bit when you look over year-over-year. It's still, we're still driving a lot of strength in our global business, whether it's in Saudi, whether it's in other parts of the country. So, it's balancing out that portfolio, which has still helped us improve and grow in that business. As we've stated, you will see some moderation in the production side of the business.  But I think the diversification, Jon, within the portfolio has helped us to still maintain a pretty good growth in that business with good off base and good margins. You will see a little slowdown again in 2024, but it's still a very strong business right now. The guys have done a really good job in that area. 
Jonathan Tanwanteng: Okay. Just to be clear, do you see growth in that business on an overall basis for the year or is that something that's going to decline?
Patrick Williams: I think it's probably going to be a little flat. You might get a little growth, but I would probably say flat to just a little tiny bit of growth for 2024.
Jonathan Tanwanteng: And then I expect that the tax rate guidance for 25%, that's reflecting where you expect the revenues to come from just on a geographic basis?
Ian Cleminson: That's correct, Jon.
Jonathan Tanwanteng: Okay, great. And jumping over to QGP, I was wondering if you could tell us what the revenue and EBITDA for that business was and the contribution you expect in '24?
Ian Cleminson: Yes. It's pretty small at the moment. It's a nice tuck in. We've said that we're going to deliver about $0.08 of earnings off that. We've not disclosed what the revenue and EBITDA is, Jon, but it's you can sort of reengineer it back from $0.08.  We're really excited about actually the -- we've now completed the acquisition in Q4 and the team is working really well together. We have lots of folks down there and we're very confident that the synergies that we can drive from a revenue perspective and the opportunities we've got both from sales of their products and our products and the technology crossover, It's going to drive a really nice acquisition. So, we're super excited by it.
Jonathan Tanwanteng: And then just any updates on the trends in Performance Chemicals? Obviously, you've lapped, I guess, inventory issues coming from last year, but what's the organic trend in both demand and mix as you see it going forward?
Patrick Williams: I think it's that mid-single-digit growth that we've been talking about. We've seen pretty much the inventory issues go away in most of the product lines. There is still some, what I would say, demand destruction in the marketplace, but we are definitely starting to see that come back. So, we're pretty excited about the year. Again, I think you're probably talking low single-digit growth to mid-single-digit growth in that business. 
Operator: [Operator Instructions]. We are now going to proceed with our next question. And the question comes from the line of Mike Harrison from Seaport Research Partners.
Michael Harrison: Good morning. Congrats on a strong finish to the year. 
Patrick Williams: Thanks, Mike. Appreciate it.
Michael Harrison: Maybe just kind of continuing on the question on Performance Chemicals, you mentioned that you expect to see some growth. I assume you're talking top-line growth in terms of low to mid-single-digit growth. But I'm just curious if maybe you can talk a little bit more about we've seeing a lot of, kind of I believe what's mostly mix erosion rather than pricing erosion, but talk about what you're seeing in terms of mix. And then I guess we've seen a pretty dramatic change in the operating margin in that business kind of starting the year in the 7%-ish range, finishing the year here at about 13%. Where should we expect to see that margin progress to over time in Performance Chemicals? 
Patrick Williams: Yes, I mean, if you look at Mike the general businesses, as you can tell, are starting to come back. The guys have done a really good job of focusing on margin improvement. We're starting to see the top-line growth that we anticipated. There are still some difficult situations with raw materials. You still have you saw the CPI numbers that came out yesterday. We are still seeing some inflationary problems in the marketplace. But overall, I think that we've filtered through most of the high-cost inventory. We've really focused on margin improvement, not only from a raw material standpoint, but from a technology point of view to the customer base to make sure that we're obviously keeping them competitive as well. So, we've done a really good job in that area and I think that's obviously where you saw the margin improvement. I think moving forward probably the margins that you see today will probably carry forward in 2024, may go a little higher. And that's our anticipation and that's our focus right now. 
Michael Harrison: All right. Thanks for that. And then switching over to the fuel specialties business, understand that we had a lot of noise going on there with the stuff going on in Brazil. But you talked about kind of sustainably looking to get back to that. I believe 19% to 21% operating margin is what you pointed to there. What are some of the key drivers for the expected margin improvement in that Fuel specialty business?
Patrick Williams: A lot of it is product differentiation mix, focused on raw materials an expansion of the business and that continues to happen in that business that we are discussing today. It's been about, that's a difficult business in this environment. But our group and the one thing about fuel specialties is when you get into a high inflationary and a recessionary environment, you don't really see the high negativity you do in most consumer-facing markets. This is one of those and all of our folks in that business have done a really good job managing their way through it. And we're starting to see some improvement in total volumes as well, which is key to the business.
Michael Harrison: All right. And then the last question for me is kind of more on the guidance front. I guess as you roll up your expectations for the different segments. Any thoughts on what that could imply for EPS in Q1 and I guess in 2024, compared to the 609 you did this year, this past year?
Ian Cleminson: So just thinking about Q1, the consensus out there is around about a $1 and $0.60, I believe. And we'll be, we expect to be around about $1.60 for the first quarter. As we move into 2024 in full throttle, where our expectation is our oilfield business somewhere between $15 million to $20 million of operating income each quarter. We're targeting close to $20 million a quarter in Performance Chemicals. And the full year for Fuel specialties should be broadly similar to where it was for this year around about $125 million once you take out the Brazil inventory write-offs. So, you wrap all together and I think you basically come out with a number that's pretty close to the full-year consensus from our analysts. So, we'd be guiding people for Q1 and for the full year that the numbers that they have are about right, and we can continue to update you as we move through the year.
Operator: We are now going to proceed with our next question. And the question comes from the line of Jonathan Tanwanteng from CJS Securities. Please ask your question.
Jonathan Tanwanteng : Thanks for the follow-up. Just wanted to ask what was the legacy that you dealt with in corporate expenses in the quarter and kind of help me understand the details there?
Ian Cleminson: Yes, Jon, that's sort of the remediation charges one of our sites where the operations have closed and we've just had some changes to scope and costs and it's a legacy item for us. So, it's not part of our continuing operations.
Jonathan Tanwanteng: Okay. And was that a TEL business or is that something else?
Ian Cleminson: Yes, you're correct. It was the old Octane analysis business.
Jonathan Tanwanteng: Okay. Great. And then going forward, you obviously still have a fantastic cash position despite the acquisition raising the dividend. What are your expectations just in terms of use of cash in priority for capital allocation?
Patrick Williams: Jon, I don't think it changes. The focus is still to increase the dividend that we as we continue to do, focused on organic growth as the market's rebound and we're starting to see that. And additionally, continue to look at M&A that fit our portfolio. We made a really nice acquisition in South America. We think there's a few of those out there that really fit us from a geographic standpoint or a product portfolio, and we'll continue to look at those acquisitions as we move forward. Number one priority right now is to make sure we integrate the acquisition we just made, and get the synergies and get the growth out of it that we're expecting. But those are really the three-core use of cash remain the same as they have for a period of time.
Jonathan Tanwanteng: And just one housekeeping question. What's the run rate corporate expense that you're expecting going forward? 
Ian Cleminson: For the full year, I think it's going to be somewhere closer to sort of $55 million this year, John. 
Jonathan Tanwanteng: 55?
Ian Cleminson: Yes.
Jonathan Tanwanteng: Great.
Operator: We have no further questions at this time. I will now hand back to Mr. Patrick Williams for closing remarks.
Patrick Williams : Thank you all for joining us today and thanks to all our shareholders, customers and Innospec employees for your interest and support. If you have any further questions about Innospec or matters discussed today, please give us a call. We look forward to meeting up with you again to discuss our first quarter 2024 results in May. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect your lines. Thank you.